Krista: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome you to the Klaviyo, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Press star followed by the number one on your telephone keypad. And if you would like to withdraw that question, again, press star 1. Thank you. I would now like to turn the conference over to Ryan Plain, Director of Investor Relations. Ryan, please go ahead.
Ryan Plain: Thank you, and welcome, everyone. We appreciate you joining us. Joining me today are Klaviyo, Inc. co-founder and co-CEO, Andrew Bialecki, CFO, Amanda Whalen, and joining us for the first time, Co-CEO, Chano Fernandez. Welcome, Chano. Andrew, Chano, and Amanda will share their views on the quarter and fiscal year, and then we will open up the line for your questions. Our commentary today will include non-GAAP measures. Reconciliations to the most directly comparable GAAP measures can be found in today's earnings press release or earnings release supplemental materials, which can be found on our Investor Relations website. Additionally, some of our comments today contain forward-looking statements that are subject to risks, uncertainties, and assumptions, which could change. Should any of these risks materialize, or should our assumptions prove to be incorrect, actual company results could differ materially from those forward-looking statements. A description of these risk factors, uncertainties, and assumptions, and others that could affect our financial results are included in our filings with the SEC. We do not undertake any responsibility to update these forward-looking statements except as required by law. Andrew, that concludes my intro. We are ready to begin. Over to you.
Andrew Bialecki: Thanks, Ryan, and thank you all for joining us today. 2025 was a breakout year for Klaviyo, Inc. We grew revenue by 32% to $1.2 billion and delivered a 14% non-GAAP operating margin. We are now serving more than 193,000 customers in over 100 countries, and we saw strong momentum across every part of the business, especially in our enterprise customer base and internationally. The future is autonomous customer experiences, where every interaction between a business or organization and its consumers will be defined and delivered by AI. Every marketing message, every customer service request, every web visitor, mobile session, and even in-person experiences will be designed for the individual consumer and delivered autonomously. To allow any business to deliver autonomous customer experiences, we have built the autonomous B2C CRM. Our technology marries the customer database we founded Klaviyo, Inc. on with our robust marketing info messaging infrastructure with agents for marketing and customer service that will autonomously create, deliver, and optimize customer experiences on behalf of a business. And this agent layer that is designing and delivering experiences to billions of consumers is trained from our deep expertise and the trillions of experiences we have delivered for businesses already. Because of these two things, proven infrastructure for real-time customer data and personalized experiences, and now agents trained to execute marketing and customer service autonomously, we are powering the era of autonomous customer experiences, and our results are showing it. In a year defined by rapid transformation, we drove 32% revenue growth for Klaviyo, Inc., with every quarter growing 30% or more year over year. Klaviyo, Inc. customers are growing too. And in Q4, our 10,000 largest customers grew their revenue, also known as GMV, by 11% year on year, which was roughly twice as much as the broader market's growth. Before I go deeper, three points to keep in mind. First, AI is making it easier to deliver high-quality experiences consumers want. Not generic experiences, but ones that delight and convert. And we will share a few examples of this today. Second, AI is improving the quality of experiences via personalization and training on past performance to meet the ever-increasing bar to wow consumers. We have hit a point where content and experiences generated by humans alone are not enough. Using AI is required to keep consumers engaged. Third, AI is making experiences more accessible. AI has introduced new modalities, like the chat and soon-to-be-available voice capabilities of our customer agent, that offer new services for consumers and businesses to meet. The upshot is that AI is an accelerant and opportunity for our customers and for us. Our customers and our incentives are well aligned. We are an engagement and revenue engine for them, and we sell Klaviyo, Inc. based on engaged consumer relationships and outcomes, not on seats. AI continues to improve the speed, quality, and places consumers and businesses need. This means as our customers around the world look to use AI to meet that moment, we are scaling with them. Our ability to be the agent and the platform of choice finds its roots in how our platform was built. This is our durable advantage. At the core is the database and data infrastructure, specifically built to handle the scale of consumer data, and indexing, enriching through machine learning, and serving hundreds of thousands of requests per second with millisecond latencies. It allows Klaviyo, Inc. to ingest, aggregate, and govern first-party data in real-time so every consumer behavior, transaction, preference, and consent is available to our users and now to our agents to deliver the best possible consumer experience. That foundation is coupled with our marketing platform, which not only provides high throughput, scalable systems to render messages, deliver them with excellent deliverability, and force compliance but also integrates with our customer data infrastructure to make last-mile personalization decisions on content, incentives, timing, and channel at the moment we deliver a message or experience to an end consumer. Speed and scale matter. By keeping consumer profiles continuously updated and queryable, Allego turns real-time consumer activity into tailored messages and experiences delivered instantly. This architecture enables a fundamentally different consumer experience. Here's how it works in practice. When, say, a consumer browses their favorite restaurant's website, books a reservation, uses our chat agent to make a modification to that reservation, buys a gift card for a friend while they are there, and then leaves a review, Klaviyo, Inc. is compiling richer context with every interaction. Who they are, what they browse, products and services they consume, and how they prefer to be contacted. All of this is stored in a single profile. We also expose that progressively built profile at each step, and our system uses that context to deliver the optimal experience. That live context is immediately available to the system, allowing an agentic customer representative to answer the question, recommend the right product, and follow up with a personalized message on any channel. All in real-time and all without switching systems or losing contact. This means the system is compounding its learning. The more our customers use our system, the smarter it gets for them, and the smarter it gets for the entire ecosystem of customers. Last year, Klaviyo, Inc. processed half a trillion customer interactions across 8 billion consumer profiles, translating into 3.7 billion daily signals. All feeding decisions and actions that help our customers engage more precisely and drive stronger outcomes. That same foundation fuels the agent layer. We have launched agents, including our marketing agent and customer agent. We have also designed the platform to be open, meaning that customers can use the agents Klaviyo, Inc. builds or bring their own. Whether it is external models like Claude interacting through an MCP server, or ChatGPT through the Klaviyo, Inc. app, any agent, any model with all the context from one platform. Our own agents are deeply grounded in domain expertise earned from hundreds of thousands of customers and trillions of data points that generate highly specific revenue-driving output. That combination ensures they do not generate generic output. They make impactful decisions that are trained from relevant compliance and effective customer experiences. Bringing this all together, Klaviyo, Inc.'s autonomous B2C CRM is like the central nervous system for AI-driven consumer engagement. Connecting reasoning to real customer context and turning it into actions across channels. The result is clear customer impact. Consumer interactions running through Klaviyo, Inc. generate measurable revenue for our customers. What we call Klaviyo, Inc. attributed value or KAV. In Q4, KAV continued to outpace business revenue, underscoring the value of running consumer engagement on one unified platform. Customers around the world are already putting the autonomous capabilities built into Klaviyo, Inc. to work. Marketing agent is a clear example. More than half of the campaigns created by customers using marketing agent are now generated by AI. With many of our customers' agent-generated campaigns performing as well as and often better than campaigns created manually. While taking significantly less time to launch. A great example is Adelson. They are an online skincare and beauty store where growth depends on frequent relevant communication. Using Marketing Agent, a small team can create and send fully on-brand campaigns in minutes instead of hours. The results have been remarkable. Open rates increased by 50%, and revenue per campaign grew by 40%. While allowing the team to run more campaigns without adding additional headcount. We see the same positive patterns in service. Customer agent is live and handling real customer conversations. Answering questions, resolving issues, recommending products, and increasingly supporting transactions. All using the same integrated data model as marketing. Since launch, resolution rates have increased by 20 points with monthly resolution volume increasing by more than 50% since Black Friday, Cyber Monday. Livestrall is a great example. Using customer agent to resolve customer queries with real-time customer and product data. Livestra achieved a 111% increase in AI-generated sales from agent recommendations and an over 100% increase in average order value and a 75% resolution rate over the last ninety days. Many of these interactions involve technical questions that cannot be handled with scripted responses and require deep contextual understanding of their product catalog. Next, we are expanding what these agents can do and where they operate. Adding more channels with email and WhatsApp in beta and voice coming soon. Along with more skills, and more control. While keeping everything grounded in the same data, delivery, and measurement infrastructure. Marketing agent and customer agent reinforce one another. Service interactions improve marketing decisions, and marketing activity improves service outcomes. As usage grows, that feedback loop is strengthened. This is the foundation we are building on. A system that scales globally, improves with use, and delivers measurable outcomes for our customers. When people think about AI at Klaviyo, Inc., they should think about it in three ways. First, AI is embedded directly into our infrastructure. It uses first-party customer data, like behaviors, purchases, and engagement. To predict how customers are likely to act and makes those insights immediately usable across marketing, service, and other customer interactions. Second, AI sits on top of that infrastructure in the form of agents that do the work of marketing and customer service. Creating campaigns, answering questions, resolving issues, and driving transactions using the same underlying data and execution system. Third, Klaviyo, Inc. is an open platform embedded in the broader AI ecosystem. Providing the real-time customer contact infrastructure LLMs require. Taken together, it gives us a clear view of where customer engagement is headed. Businesses are moving towards more autonomous experiences. As they do, interaction volume and complexity increase. Driving demand for infrastructure that can unify, execute decisions, and measure outcomes in one place. That's the role that Klaviyo, Inc. plays. We built a platform that coordinates data, decisions, and execution across the entire customer life cycle. Making autonomous engagement practical, measurable, and scalable for businesses of all sizes. The next era of customer experience will be autonomous. Powered by unified data, and real-time action. We are making that future accessible to the world's leading consumer brands. I want to thank our customers and our partners for their trust, and I want to thank Klaviyo, Inc.'s around the world for their dedication to our customers. We are excited to continue building, investing, and leading as we bring our autonomous B2C CRM platform to businesses of every size. And with that, turn it over to Chano.
Chano Fernandez: Thanks, Andrew. I'm excited to join you, and thank you all for being with us today. One month into the role, it is clear to me that Klaviyo, Inc. is built for where the market is going. Real-time data, intelligence that learns from outcomes, and actions marketing and service that's increasingly autonomous. I've spent my career scaling enterprise technology businesses. And I joined Klaviyo, Inc. because I see a B2C CRM category transition happening. And a team that knows how to win it. Let me start with enterprise. Enterprises are rethinking how they run customer engagement because their customers' expectations have changed. They want personalization, immediacy, and experiences that feel seamless as they move across channels. When I talk to these companies, I hear a consistent need. They want one platform that can power the entire customer relationship. What they have instead are separate databases, separate customer-facing tools, and separate decision engines that weren't designed to work together. The result is slower decisions, inconsistency, and personalization that breaks down as their customers move across channels. The real cause of that fragmentation is yield. When data, decisions, and executions are disconnected, companies leave revenue on the table. This is a massive opportunity for Klaviyo, Inc. One we're already capturing and are laser-focused on expanding by proving that consolidation produces results. A great example is Symbioteka. A natural supplement brand. They leverage segmentation tools during the holiday season to focus on their most engaged audiences. Using Klaviyo, Inc., they reduced their email volume by 31% year over year. While increasing total revenue by 44%. This strategy nearly doubled the revenue per recipient. Another great example is Proper Hotels, which selected Klaviyo, Inc. as Itascalic's luxury hospitality portfolio to gain deeper visibility into its guests' database. A stronger attribution across channels, a more robust reporting than traditional hospitality CRMs could provide. Since migrating to Klaviyo, Inc. in October, Proper has seen overall CRM revenue grow by more than 200% year on year. Stories like this illustrate why momentum is building and why large consumer businesses are relying on Klaviyo, Inc. data, intelligence, and action. Klaviyo, Inc.'s continued investment in AI-driven capabilities, our MCP server, and integrations with LLMs further reinforce our role as a long-term infrastructure partner. Enabling more dynamic segmentation, faster experimentation, and increasingly personalized life cycle messaging. We have our largest enterprise pipeline ever, and it's across verticals and geographies. Importantly, we're seeing this pipeline convert to a more repeatable motion, clearer stage gate, tighter product alignment, and faster time to value proofs. In fact, the number of customers generating at least $1 million of ARR doubled last year. Inside Klaviyo, Inc., our team is ready for this demand. Over the last several months, we have put more structure into how we work larger opportunities. We're aligning product sales, and engineering earlier in the process. This approach is allowing us to scale our motion in a repeatable way. We're also continuing to expand our partner network. This includes an exciting new partnership with Accenture, where we're combining Klaviyo, Inc.'s autonomous B2C CRM with their services to drive faster, and more integrated customer outcomes for some of the largest brands in the world. Like Stanley 1913. We're also strengthening leadership across our go-to-market team. We hired a new global chief revenue officer, Eric Perde, who I know well and who brings significant experience in enterprise deals. Several key sales roles are also now held by sales leadership, with deep enterprise experience. At the same time, we are preserving what makes Klaviyo, Inc. unique, which is a product-led culture and an engineering mindset that moves fast. And solves customer problems. We tell prospective customers you can dream it, you can build it on Klaviyo, Inc. Internationally, it's another area where we're seeing increased momentum. Revenue outside the Americas now represents more than one-third of the business at the '4. During the last quarter, Klaviyo, Inc. partnered with Kiko Milano, Italy's number one makeup brand. Operating more than 1,300 retail stores across over 70 markets worldwide. There is becoming a meaningful contributor in these markets as well. All of these ties to where customer engagement is going. The shift towards autonomous, conversational, and agent-driven experiences is faster than we could have anticipated just a few years ago. And the opportunity that lies ahead is large and exciting. Everything I've seen since joining reinforces my belief that the opportunity ahead is great. And that we're still in the earliest stages. We're building to win. Now I'll turn over to Amanda to walk through our financial performance.
Amanda Whalen: Thank you, Chano and Andrew. 2025 was a defining year for Klaviyo, Inc. and a clear reinforcement of our position as the autonomous B2C CRM that powers more valuable customer experiences. We delivered strong growth, expanding profitability, and record free cash flow. Our peak season performance demonstrates that businesses rely on us to understand their customers in real-time and act instantly across channels. For the full year, revenue reached $1.234 billion, up 32% year over year. International revenue growth accelerated to 42%. Our largest customers, those contributing more than $50,000 of ARR, grew over 37%. Our new service category is the fastest-growing product launch in our history. And this broad-based strength drove NRR to 110%, a year-over-year expansion of more than 200 basis points. Q4 was a standout quarter. We delivered revenue of $350 million, up 30% year over year, driving our annualized revenue run rate to $1.4 billion. Q4 was defined by the shift toward autonomy and the validation of our model. Customers increase spend with us because we are the engine of their growth. Customers are leveraging data and AI to move from broad-based volume to precision targeting. Focusing on smaller, higher intent audiences. This shift drove superior outcomes for our customers because an automated flow drives on average over 10 times more revenue per message than a static campaign. We saw particular momentum in mobile, with over 29% of SMB plus customers now utilizing text and WhatsApp. Let's look at our growth engines. We are successfully delivering on our growth strategy by adding more products and channels, more countries, and larger customers. AI acts as a multiplier, accelerating our momentum. In Q4, each of our growth engines delivered meaningful progress. This dynamic accelerated our NRR to 110%. NRR strength was driven by expanded usage of our email and text products, cross-sell of text messaging and WhatsApp, and the scaling of marketing analytics and service. There was also a contribution from the profile enforcement change we made in February. Service is on the steepest adoption curve in our company's history. From $1 million businesses to $100 million enterprises, high ROI personalization and real-time action resonate at every scale. The data confirms the success of our multiproduct strategy. 60% of our ARR now comes from multiproduct customers. With consolidation accelerating, over 15% of our ARR now comes from customers adopting at least three products. This mix continues to shift upwards as brands recognize the strategic value of unifying on a single platform. Half Magic demonstrates this value. By consolidating marketing, service, and analytics on Klaviyo, Inc., this fast-growing beauty brand drove a five times increase in repeat purchase and 110% growth in automation revenue over twelve months. Plus two times higher average order value from orders attributed to our customer. We are aggressively expanding our addressable market. Q4 was a standout period for mid-market and enterprise momentum, highlighted by wins including Kiko Milano and Bayer, and expansions like Taylor Made and Nine West. Our customers with greater than $50,000 in ARR increased by 37% year on year to 3,912. We added 349 new net new 50k customers in the cohort, beating our previous record by over 25%. International is strong with revenue outside the Americas, led by strength in Italy, growing 41% year over year in Q4. Spain, and Portugal alongside traction with global brands like Bayer, and Kiko Milano. Our business model is fundamentally aligned with customer success because we price based on the number of active profiles and usage, rather than seats. Our revenue scales naturally as customers use more data, adopt more tools, and drive more value. As customers integrate AI-driven workflows, interaction volume increases, flowing through our platform and deepening the alignment between customer value creation and our long-term growth. Turning to our financial performance. Non-GAAP operating income for the quarter was $51 million, representing a 15% non-GAAP operating margin. This reflects a 900 basis point expansion year over year or 400 basis points excluding the impact of last year's bonus implementation. We delivered a non-GAAP gross margin of 73% in the fourth quarter, consistent with the anticipated seasonal mix shift toward higher text messaging and WhatsApp volumes. Our underlying infrastructure efficiency is providing increasing operational scale significantly mitigated the margin impact of text messaging and WhatsApp, resulting in a sequential improvement in the year-over-year gross margin trajectory throughout the fiscal year. Operating discipline remains a priority. Non-GAAP operating expenses were 58% of revenue, our lowest level since the IPO. AI is driving meaningful internal productivity, enabling faster development cycles without commensurate headcount growth. Free cash flow surged 61% year over year to $87 million. This was driven by strong flow-through from operating income and record collections, highlighting the high quality of our earnings. For the full year, the strength of our business model is clear. Non-GAAP operating income was $169 million, a 14% non-GAAP operating margin, which was up 170 basis points year over year. We delivered a free cash flow margin of 16%, continuing to outpace operating margins. And we surpassed $1 billion in cash on hand for the first time. Momentum heading into 2026 is strong. And we are raising our full-year 2026 guidance. We now project revenue between $1.501 billion and $1.509 billion, representing 21.5% to 22.5% year-on-year growth. This is driven by high-quality expansion within our install base and the continued scaling of new products. Importantly, our 2026 outlook is derisked. It assumes minimal revenue contribution from our newest AI and service products. We view these innovations as embedded upside that reinforce the durability of our growth runway. We expect continued operating margin expansion. For 2026, we project non-GAAP operating income of $218 million to $224 million, a non-GAAP operating margin of approximately 14.5% to 15%. Our business model enables us to reinvest in growth while simultaneously delivering profitability. We are a growth company that remains disciplined in striking the right balance, leveraging our operational rigor to fuel reinvestment, ensuring we capture the opportunity ahead and deliver growth over the long term. For Q1, we expect revenue of $346 million to $350 million, representing growth of 23.5% to 25%, and non-GAAP operating income of $50 million to $53 million, or a non-GAAP operating margin of 14.5% to 15%. On linearity, we expect revenue similar to 2025, weighted towards the second half due to seasonality and product ramps. Operating income will also follow a similar first half and second half cadence as 2025. As our business continues to grow and our scale increases, our visibility into the core has sharpened. Our outlook reflects high confidence in the baseline while maintaining a prudent approach regarding the timing of upside from new initiatives. In summary, Klaviyo, Inc. is ushering in the era of autonomous consumer experiences with our market-leading B2C CRM. We are the engine helping businesses turn real-time data into intelligence and action. Customer experience is already becoming autonomous, unified, and real-time. And Klaviyo, Inc. is the actionable infrastructure powering that shift at scale. Before I open it up to questions, I want to leave you with three key takeaways. First, AI increases the speed, quality, and reach of consumer engagement. And customers are relying on Klaviyo, Inc. to deliver that engagement. Second, our advantage is structural. Our infrastructure is what allows agents and AI tools to operate consistently as volume and complexity increase. And third, our model is built for this moment. Klaviyo, Inc. is a revenue yield engine. As AI increases the volume and sophistication of consumer engagement, value creation, and our growth, scale together. With that, open it up the call for questions.
Operator: Thank you. We will now begin the question and answer session. We also ask you to limit yourself to one question. For any additional questions, please requeue. And your first question comes from Ryan MacWilliams with Wells Fargo. Please go ahead.
Ryan MacWilliams: Hey. This is Cyrus on for Ryan. Thank you for taking my question. What was the impact from the portfolio enforcement change in the quarter? I just have one quick follow-up on SMS.
Amanda Whalen: Sure. Could you ask the question to portfolio change? Sure. The portfolio and then change. Yeah. Yeah. In NRR, if we take a step back, there's three big impacts or three big drivers of NRR. The first and largest is the impact of growing usage of our platform and across our email and SMS products. The second is increasing cross-sell of our text messaging and newer products, including marketing analytics, and service, and then we did have an impact on or contribution from portfolio or the profile enforcement happened in February. But that was the smallest of the three. What we're really proudest of this quarter is the way that our customers are using Klaviyo, Inc. to drive higher quality outcomes. They're seeing increases in their returns that they're seeing on each message because they're doubling down on automation and doubling down on high-value messages that drive with those automated flows up to 10 times more revenue per message compared to a more static campaign. We're also seeing strong success in that cross-sell. With over 29% now of our customers in the SMB plus category using SMS and our text messaging products. And service, as we've said, is off to a really strong start. So multiple levers contributing there to NRR over the coming year.
Ryan MacWilliams: Perfect. Thank you. And on SMS, how did SMS perform in the quarter versus expectations? I know the Black Friday, Cyber Monday, statistics you guys put out were very strong. So how did that compare with your internal expectations, and how can we think about that going into 2026?
Andrew Bialecki: Yeah. I could take that. So, as Amanda said, people are getting more out of the profiles. They're building better relationships. You know? So that's calling them to store more for us. But that's enough. Very strong. It's some of the things you cited. You know, one thing that's happening with text messaging is we're undergoing a real transition here from SMS to RCS. Which allows for much better experiences. So you can think about branded accounts, the ability to embed richer media, carousel, even take actions directly from within a text message. So we look at that as there's a lot of upside there. One thing I'm very proud of our team, we've gotten close to customers, and we've really designed some really compelling experiences where text messaging, I mean, not only can you now even say browse entire almost website, a whole catalog, we're getting close to where you can even almost, like, buying decisions directly from RCS and text messaging. So I think there's a lot of upside to that channel. And I in parallel, know, we launched WhatsApp generally in the last few months, and, similarly, what WhatsApp is used more internationally. We're seeing a very similar pattern. The types of experiences that you can build, again, with richer media, you know, allowing people to browse more of, say, products and services directly from a message or from a thread. That's working really well. And then the last thing, you know, we talked about customer agent. And this idea of having this helpful assistant that's always on that's powered by Klaviyo, Inc. Those now integrate directly into text messaging in WhatsApp. So we're also seeing a lot of consumers are asking follow-up questions and that's, you know, that's driving usage of both our customer agents as well as more adoption of those channels. And, obviously, consumers are gonna go where they can get the best experience. So they're we're kinda normalizing this idea that you can have a conversation with a business not just over a chat interface, but also in tech in your text messages or inside of WhatsApp.
Operator: Your next question comes from the line of Elizabeth Porter with Morgan Stanley. Please go ahead.
Katie Kuser: Awesome. Thanks. This is Katie Kuser on for Elizabeth. Andrew, maybe on the service opportunity, can you give us a little bit more visibility into adoption engagement trends by cohorts, specifically when we're thinking SMB versus mid-market versus enterprise? Is adoption there skewing more towards the agent side relative to the help desk in any of those cohorts? Then maybe just translating that into the model. Amanda, definitely heard you that the guidance is derisked, but just any color you can provide on what level of service contribution is actually embedded within the 26 guide would be great. Thanks so much.
Andrew Bialecki: Okay. I'll tell you a little bit what I'm hearing from customers, and I'll only make a comment on the embedding into our model. So the first with service, we talked about customer agent. Our belief is that every business is going to have this digital representative, this customer agent. And we think Klaviyo, Inc. is very well positioned to offer that because of the dataset that we have around who your customers are for the businesses that we work with and our ability to store that data and access it in real-time. And also just the broad set of customer experiences that we've already powered and using that to train and make our customer agent better for each of the businesses that we serve. So mentioned some examples, you know, businesses that are already adopting customer agent. We're seeing adoption from our entrepreneurs and SMB customers all the way up into our mid-market enterprise customers. So just as an example, I was talking with a customer the other day, the high-end, you know, fashion brand. They were telling me a story about how their customer agent closed the sale for an $800 dress. Without anybody, you know, any interaction from anybody on their team. And they're starting to see that as the new normal. So we're very excited about this. I think, you know, adoption when I talk to customers, there's really two rate limiters, and we're working on both of these. The first is they say, hey. They're not sure how to train up an agent. So, you know, we think of a lot of companies are understanding how to do that. We're actually building technology that one, will teach you how to do that, but also will automatically do it. So out of the box, you know, our agents are already really, really good at the especially important if you think about for our entrepreneurial SMB customers and give us a good platform, you know, for our mid-market enterprise customers where they can get a really high-quality agent, you know, in a very short amount of time. And the second one is that they're nervous about, like, hey. The quality of the response. So, again, product that we're building in is the ability to frankly, generate a bunch of, you know, simulated conversation and show those to our customers so they can get comfortable that the quality is really high. So as we continue to push on the product and our ability to deliver that, we're gonna find that everybody's gonna have a customer agent, and, you know, obviously, we want it to run on top of Klaviyo, Inc. Amanda, you wanna comment on the guide?
Amanda Whalen: Yeah. In terms of the guide, there is minimal contribution from service built in. The way that we think about it is it's embedded upside in the model. We're seeing the strong traction, the strong customer response that Andrew just talked about. But we'll build that in over the course of the year as we see the results there continue to build and grow. We're just early in that product adoption cycle. So if you take a step back and think about our guide for next year, we're going into fiscal 2026 from a position of strength. Our guide is a strong baseline that reflects the momentum that we're seeing across our core business in international, in mid-market and enterprise, and with new products that we're continuing to introduce. And that has the opportunity to only continue to accelerate as we gain momentum from not only our new service products but also the new AI products that we're introducing as well.
Operator: Your next question comes from the line of Gabriela Borges with Goldman Sachs. Please go ahead.
Gabriela Borges: Hey. Good afternoon. Thank you. Andrew, I noticed throughout your prepared remarks, there's this theme about context and some of the proprietary context that Klaviyo, Inc. has. My question to you is, what is the limiting factor to LLM or an AI native company spinning up alongside of you and somehow replicating or otherwise accessing that context through API, such that it diminishes your barrier over time. Maybe just a little bit on the limiting factor to someone else abstracting your context. Thank you.
Andrew Bialecki: Yeah. Thanks for the question, Gabriela. I guess it's a lot of, hey. You know, how easy is it to rebuild Klaviyo, Inc. or what, you know, what gives you that advantage? So let me say that, like, we've looked at we designed Klaviyo, Inc. to be ready for this agentic era. Or as we talk about this, you know, everybody's building agents and its autonomy. That's gonna sit on top of the, you know, infrastructure that exists. There's two things that give us a lot of confidence here. The first is we already have this great dataset. We talked about half a trillion data points just last year, trillions over the course of 4 billion new signals that we get every single day. And the signals for us are really it's not just data points about what customers are doing. But it's also how they're interacting with the experience that Klaviyo, Inc. powers. So you can think about every message whether it's an email, a text message, a WhatsApp, a mobile notification. Every experience with our customer agent, not only do we have AI that's designing that and tuning it, but it's also learning from that dataset about what works best and then using, you know, reinforcement learning and other techniques to improve itself. So first is the data. The second is frankly, our infrastructure. You know, when you think about our database, we designed it specifically for these real-time use cases. It's very hard not only to store data but to index it and serve it such that every time a page loads, every time a message needs to be sent, you can query specific attributes about a person or specific things that they've done. And make decisions in real-time in milliseconds and integrate that into the experience. That combined that data infrastructure combined within our messaging infrastructure its ability to make sure you're compliant, pick the right channel, embed that personalization all in real-time, I think those two bits, the data plus the infrastructure, are really what set us apart.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Perfect. Thank you. I'll stick to the one question. It's good to connect again. The one question I got from investors, though, was that, you know, we all know you as kind of co-CEO Workday, etcetera, which is kind of more upmarket enterprise. Can you talk a little bit about, you know, how that fits in here at Klaviyo, Inc., which is kind of more slightly lower and not lower end but you know what I mean? Like, more SMB space. Like, you know, how is the skill set that you bring kind of help here? Thank you.
Chano Fernandez: Thank you, Raimo. It's great talking to you again and connected again. Right? I guess there would be two dimensions. Right? One is, obviously, my background is more scaling up in businesses. The second one I would say is operational strength and how we're bringing some better operational cadence in terms of scaling a more predictable business as a whole. Right? So I would say my focus is on both. Right? We commented that on the enterprise. We are really excited about the opportunity. We talk about, you know, our best pipeline ever and also last year, we doubled the number of customers over $1 million ARR. And we're putting the experience in terms of the go-to-market leadership. We're investing in the compliance and the governance to serve and I believe the momentum is very clear. Right? In terms more on the experience itself on the operational side, I would say, first, you know, we're focusing on using AI internally as much as we use externally, and there are some amazing productivity gains that are already seen in some of our numbers. We are focusing on creating much better operational alignment product, engineering, and go-to-market. So we keep the decisions going fast and execution going at the speed of light these days. Right? And as Andrew has mentioned as well, getting up to that enterprise readiness. So all that, hopefully, that contributes. Seeing as my previous, you know, co-CEO experience. Clearly very excited to be part of the journey here on a company that I've been familiar with now from the board for the last few years as well.
Operator: Your next question comes from the line of DJ Hines with Canaccord. Please go ahead.
DJ Hines: Hey. Thank you, guys. Congrats on the really strong results, and I appreciate all the comments around kind of the infrastructure advantages that you have. Andrew, I was hoping maybe you could talk a little bit about the Accenture partnership and kind of what they see in Klaviyo, Inc. I mean, when I hear of these GSI relationships, I think, you know, their services work. That seems a little bit at odds with kind of your core model. So just talk about kind of what they see in Klaviyo, Inc. and kind of how you can leverage their reach to help build the business.
Andrew Bialecki: Yeah. Let me make a couple of comments about with Accenture. Oh, that was a Okay. I really thought that because I'm DJ, could you just mute your line? I think there's some echo. K. Go ahead, AJ. I'll try. So with Accenture and how we're thinking about partners generally, look. This AI era and this building, you know, building out customer experiences that are designed and delivered by AI. We think it's gonna require a whole bunch of new skills and new services that tens of millions of businesses around the world, and it's certainly the largest enterprises in the world are gonna need help adopting. So I'm very excited with, you know, the work that currently, I've had with Accenture about what these new practices will be. And I think it's, you know, when it comes to our marketing agent and designing, you know, sub-agents within that that will help look through your marketing, define gaps, help surface those, then create the right creative all the way to our customer agent, helping that, you know, tune various experiences, you know, maybe based on what's worked in the past. We think there's a ton of new work for all of our agencies and SI partners. But, anyway, Chano's been working closely with Accenture. Chano, do you wanna?
Chano Fernandez: Yeah. DJ, great talking to you again. So I would say clearly, Accenture is starting to provide services around marketing reinvention and service reinvention. Some of those services need, you know, a good, powering on AI solutions, and they see us, you know, as a great partner to bring that to market. They see a great opportunity for companies that are looking, you know, to solve more for draft fragmentation. I was talking on my script. In terms of closing the loop for the entire customer relationship. Experience. And they see Klaviyo, Inc. as a great solution to provide that one. And, clearly, as I mentioned before, you know, we're moving up more towards the enterprise. Though, to be clear, we still are fully convinced that, you know, it's gonna be our core business and our SMB business is a great cornerstone for us, and it's gonna keep thriving. But, obviously, enterprise opening us completes new opportunity. We're partnering with the likes of Accenture. It's gonna be instrumental for both of us. So tons of excitement. You know, stay tuned. I guess we'll have much more to share over the coming months.
Operator: Your next question comes from the line of Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hi. Good evening, and thanks for taking my questions. I guess, Andrew, I wanna maybe revisit Gabriela's question a little bit because I think of what we're all trying to figure out is if the marketer starts increasingly interfacing with Klaviyo, Inc. via ChatGPT or another interface, maybe making a tool call and just how the value will still ultimately be provided by Klaviyo, Inc. But I guess the perceived value question of what the marketer thinks is creating the value for them, how do you contend with that and make sure that the user knows that it's actually Klaviyo, Inc. that you make sure that the economic benefit also accrues to you. I have one follow-up.
Andrew Bialecki: Yeah. Sure. So analogy that, you know, we've been using internally in trust using it. When we think about our infrastructure, it's kind of like, you know, how good is the engine underneath that is both understanding who your customers are, and actually provide those experiences, whether it's messaging or some of the conversational architecture that we have now with our customer agent. They're obviously marrying those two together. And I think, you know, we look at our infrastructure. I mentioned how tuned it is for the scale and really the real-time nature of consumer interaction. We just laid it like, we have the engine of, like, an F1 car, and you can't just go you just take any old engine and, like, plug it into something, make it look shiny, and have it work. So you know, with on top of that and then the other thing I did with Gabriela is, like, look. We talk to customers and say, like, would you wanna swap out Klaviyo, Inc.'s system for something that would maybe cheaper to run? And the answer for all of them is no. And the reason is because the ROI for Klaviyo, Inc. is so good. People don't wanna miss out on stunning customer experiences and consumer experiences they don't wanna miss out on the increased engagement and increased revenue that comes with. That's been a very durable pattern. Durable thing that I've seen when I talk to our customers. So if you flip it back then, like, I put this in the prepared remarks, but we actually look at AI as if it's sort of the driver of that car, well, gosh. I mean, how do we get, you know, our agents and potentially other agents using more of, you know, Klaviyo, Inc.'s, you know, underlying engine infrastructure? And that's where we come back to. What we found with AI is and our agents is it's making it cheaper to execute. We're finding a lot of customers who now, because of AI, you know, they have the time, they didn't have the time and space. Now they can get to things because they can take an idea, and turn it into marketing much faster. And it's also increasing the quality. You know, I mentioned how our because our database, our underlying customer data infrastructure is married with the marketing messaging, and we can see what's working. We're able to hint back to agents, both Klaviyo, Inc.'s agents and then in the future potentially other agents what's gonna work best for each consumer. So we're able to inject that personalization, that contact, in at the last moment. And that's having we're seeing that have tremendous uplift. I mean, we talked about these results. The fact that we're seeing open rate increase not by a little bit, by 50%, revenue increasing by a similar amount, this is, I think, the future. I think the idea that you would run either marketing or customer service agents and you wouldn't run them on the best possible infrastructure, just doesn't make sense. Because at the end of the day, like, know, we're trying to help drive, you know, customer experiences that translate directly to, you know, into dollars, you know, in revenue for the business that we.
Samad Samana: Very helpful. And then maybe, Amanda, just to follow-up for you on the OpEx growth. It slowed quite a bit. I was just especially R&D. Is that mostly, like, internal efficiencies? Was there anything timing related in terms of timing of hiring? Just how should we think about that both in the quarter, what led to that slowdown, and then how should we think about it going forward. Thank you again.
Andrew Bialecki: Yeah. Let me take that just to start qualitatively so and Amanda will get to the numbers. Yep. Look. We've had an initiative internally about working, you know, AI first since last fall. I'll tell you, like, I myself, like, just, you know, building products coding. I mean, the amount that you can do now with AI on two fronts. The first is I you know, the thing we you know, at nine in early days, we moved very fast. We were great builders. But we're able to go much faster and not 20% faster. You know, talking five, 10, 20x faster the early days. You know, it's fun. I can sit down now. And build whole features, whole prototype in an evening that used to take us weeks. And that's an advantage that our entire product and engineering team is embracing. The second thing I'd say is everybody now gets to act as a developer. We have a number of internal systems that, you know, thousands of Klaviyo, Inc.'s rely upon that weren't built by engineers. Or they were built by engineers, but maybe not in the traditional sense. There are other folks at Klaviyo, Inc. that are now doing engineering, thanks to the progress that we've seen with, you know, some of the, you know, the coding agents. Look, we just said that, hey. All of that is stuff that we're really gonna push on and, you know, Amanda knows. Like, our roots were we were, you know, a small handful of folks that had great unit economics, great efficiencies, in our early days, and now we're benchmarking ourselves against what the best AI companies are doing. Looking at that as the new normal. Amanda, anything else you wanna add?
Amanda Whalen: Yeah. The only thing that I would add there is we look forward into next year, we're really pleased with the trajectory that we're seeing on our overall operating margin. And I think that is because we are a high-growth company who's delivering expanding profitability while making high-return investments. And the great thing about where we are right now as an era and as an industry is, as Andrew said, we can make those high-return investments and be so much more efficient in how we're building and how we're scaling. So we are bullish about the ability that we have to continue to drive that profitability. While continuing to expand our margins 100 basis points or more over the coming year.
Operator: Your next question comes from the line of Tyler Radke with Citi. Please go ahead.
Tyler Radke: Yes. Thank you for taking the question. And Chano, congrats on the co-CEO role. Nice to see you again. Question on go-to-market. Just given, you know, some of the leadership changes and go-to-market changes, how are you structuring and incentivizing, go-to-market this year? Any other changes we should be thinking about? And, you know, I guess, Amanda, are you building in any conservatism just given the moving pieces on that front? Thank you.
Chano Fernandez: Yeah. Thank you, Tyler. Great catching up. I mean, well, first of all, I'm lucky I found a great foundation here both in terms of, you know, product innovation, customer satisfaction, I would say talent. Obviously, as in any place, there are usually opportunities for improvement, and I think we saw an opportunity for, you know, improving in terms of the go-to-market. Mainly across, you know, tidying up execution and rigor and discipline, and at the same time, potentially, as we say, there are many disjointed experiences that don't provide that full overview in CRM legacy systems that I think are ready to be ripped out. And we wanna capture that opportunity, and we're greatly positioned to doing so. So that's why we're doing some of these changes from a go-to-market perspective. And, you know, me being right, that should show up. Over the next few quarters in terms of increased win ratios. I'm clearly a reacceleration. And that is my expectation that yet to be proved. Right? Clearly, you know, in terms of how we are aligned on incentives, I mean, at the end of the day, we try to align to, you know, what it makes sense for how our customers are seeing the benefits that we're bringing. So, obviously, as we've said before, we're more a consumption we're more an outcome-based. So that is as well how our teams incentivized. So we're very focused on this Klaviyo, Inc. attributed value, Klaviyo, Inc. attributed revenue that last year came up to close to $80 billion, you know, that we're driving to our customers and very focused on those outcomes, you know, that it would matter. Right? Clearly, that as well should manifest if we're doing our homework, that even the ratios being okay today in terms of having 60% of our ARR becoming multiproduct, in that case, it is two or more products. I believe that the opportunity for ourselves and cross-sell, we're doing our homework, is much better than that one. And I think we're having the right thing to execute on it.
Amanda Whalen: Thanks. And, Tyler, as in regards to the model, we have the benefit that Chano has been involved in the business both on the board side as well as getting ramped up to speed as supporting us on an interim basis last fall. So he is coming in as a strong leader with clear plans, and we have strong visibility into the places where we're gonna be making those changes and continuing to improve over the course of the coming year. So the main thing that I would point to as you think about the investments that we're making in go-to-market over the coming year is that they're going to be continue to be with the strong focus on unit economics that we've always had as a business. Right? It goes back to Andrew and edge, we tend to look at our tech paybacks now as we're expanding into the mid-market and enterprise. We look at the LTV to CAC, but we see great opportunities ahead and we see strong returns from those investments that we're making. And they're baked into the outlook that we have for the year of continuing to expand our operating margins.
Operator: Your next question comes from the line of Matthew VanVliet with Cantor Fitzgerald. Please go ahead.
Matthew VanVliet: I guess as we look towards what the customer and marketing agents that you're offering could feed into the model whether it's this year or into the next several years? Curious if you can share any sort of metrics around adoption by your customers just you know, how many are using it in any capacity? Where do you expect that sort of percentage of your customers to at least be piloting and testing it out to be over the next several quarters?
Andrew Bialecki: Yeah. Awesome. I could take that. So, while we're not sharing the percentage of customers yet, I can tell you it's growing rapidly. And I mentioned some of the things that we're solving, especially for our entrepreneur and SMB customers, to help them adopt faster. In a lot of cases, it boils down to hey. You know, how do I train a model, and how do I trust it? Again, these are things we're really, really good at. If you go back to Klaviyo, Inc.'s early days, you know, we had to teach people how to do, you know, more personalized messaging, marketing, and make that, you know, almost out of the box. And now we're doing the same thing, you know, with agentic capabilities. You know, I'll reference back to, you know, the data point we watch a lot, which is, like, for people that are adopting, our agent products. Whether it's, you know, our marketing agent or our customer agent, how often are they coming back? And, you know, I'll go back to the data point we shared around our marketing agent where for folks that try it and adopt it, we're finding that they're using it repeatedly. In fact, it's starting to really eat into their share of how they, you know, generate and create marketing overall. So that it very much leads me to believe that, like, in the near future, gonna have a large percentage of our customers who aren't going through and pointing and clicking and, you know, sort of doing creative design all on their own, they're going to do it in large part with AI. You know, just an example from, you know, just this week, you know, talking to a customer that's playing with our marketing agent, you know, product, and, you know, he's telling me about how he was designing a campaign in his brand has a big, you know, Spanish-speaking, you know, audience. And the marketing agent actually understood that and generated versions that were not in just English but in other languages as well. I mean, these are the kinds of things that are now happening agents that are running on top of our platform. And because we have the customer contact to say, you know, what geography or locale somebody's in, you know, their preferences, maybe, you know, things that they told us. You know, in this case about language. We're able to just automatically inject those. Our agents are able to pick up on that. So I think you're gonna see a great increasing percentage of our customers are starting to really rely even for the majority of their usage of Klaviyo, Inc. on our agents. And then, also, we're gonna see a, you know, it's a growing percentage, even give it a shot. You know, become full-time adopters.
Chano Fernandez: Yeah. I think just to add on that one, we provided a couple of data points, like, you know, customers that have taken or adopted market engaging. 50% of their campaigns, they're doing it with the marketing agent and seeing better results, some examples back on, you know, the live the L2 resolutions and service. For customers like LifeStraw. 74% of those coming up. Or Harvey and so on, like, 77% with autonomous within six fifty days of adopting service agents. So there has already some great data points that, of course, you know, as product keeps maturing, will go to market teams keep cranking on it. You know, very exciting what's coming ahead.
Operator: We have time for one more question, and that question comes from Derrick Wood with TD Cowen. Please go ahead.
Cole: Hi. This is Cole on for Derrick. Thanks for taking our question. The, you know, large customer ads were super strong. Could you just talk a little bit more about the strength there? And then specifically, you know, how much of this is cross-sell versus actually going in landing new customers of this size? Thanks.
Chano Fernandez: Yeah. Great question. Most of those customers tend to be net new land. In terms of the large size customers. Some day, you know, clearly, they expand over time, but it's more on the net new logo. I think it comes to two points. Right? It's clearly how we're changing some of the practices in terms of focus more on the leading indicators, like pipeline, qualification, and strength of that pipeline. Same as I said before, how we're tidying up those agencies as well with, you know, beyond cells themselves with articulating the value proposition with product and engineering teams altogether. Getting onto it. And, clearly, I would say it's the, you know, it's the teams that know too and to understand how to liaise and learn customers in terms of the complexity of the sales cycles. But I think, you know, as I said before, qualifying the cycles is very important, I think, that we are on the right opportunities, and we those that we are into, and we are winning, and we're just creating the sales place, increasing the activity. And certainly, as well starting to come with partners like we mentioned before Accenture and some others. Which are great. Right? I think it's important to highlight as well that that is becoming a multi-verticals, and we're seeing customers now in Europe, like Bayer or Lindt. It's very international as well, Taylor Made and some others that are, you know, tremendous Marquis names that are starting trusting us. And I think that will create a hopefully, create to them, you know, flywheel effect in terms of we're building our brand as we are ready now for enterprise with the investments we're doing in compliance and governance plus, you know, some data centers for some of the international customers, still very strong about the value proposition of where we're going. So yeah.
Krista: And ladies and gentlemen, that does conclude today's conference call. Thank you for your participation, and you may now disconnect.